Operator: Good day, and welcome to the Escalade Inc. Third Quarter 2025 Results Conference Call. [Operator Instructions] Please note that this conference is being recorded. I would now like to turn the conference over to Wes Smith, Vice President of Financial Reporting and Investor Relations. Please go ahead.
Wes Smith: Thank you, operator. On behalf of the entire team at Escalade, I'd like to welcome you to our Third Quarter 2025 Results Conference Call. Leading the call with me today is Interim President and CEO, Patrick Griffin; and Stephen Wawrin, our Chief Financial Officer. Today's discussion contains forward-looking statements about future business and financial expectations. Actual results may differ significantly from those projected in today's forward-looking statements due to various risks and uncertainties, including the risks described in our periodic reports filed with the SEC. Except as required by law, we undertake no obligation to update our forward-looking statements. At the conclusion of our prepared remarks, we will open the lines for questions. With that, I would like to turn the call over to Patrick.
Patrick Griffin: Thank you, Wes, and welcome to everyone joining us on today's call. Before I discuss our third quarter results, I'd like to address the leadership transition that we announced this morning. Effective October 29, I was appointed Interim President and CEO by the Board and replaced Armin Boehm, who departed the company on that same date. On behalf of the company, I want to thank Armin for his contributions over the last several months. We wish him the best in his future endeavors. I want to assure our investors, employees and customers that this transition does not reflect any disruption to our strategic direction or our operations. The Board and leadership team remain fully aligned and committed to executing our long-term vision, and we remain focused on delivering exceptional consumer experiences, building enduring brand loyalty and maintaining operational excellence. These principles have defined who we have been for more than 5 decades as a public company and they continue to guide us today. As many of you know, I've had the privilege of working at Escalade for the past 23 years and have served as a member of the Board of Directors since 2009. As a result, I will work to ensure that this leadership transition will be as seamless as possible for all the stakeholders. Finally, the Board and executive leadership team are confident in our path forward, and we remain sharply focused on creating value for our shareholders. Turning now to our third quarter results. We experienced improved results driven by solid demand across most of our portfolio of leading brands as well as cost discipline and operational efficiency. We achieved these results despite heightened consumer uncertainty and ongoing tariff-related costs. Net sales [Audio Gap] of net sales. Margin improvement was driven by lower manufacturing and logistics costs, benefits from our ongoing footprint rationalization and tariff mitigation initiatives. Importantly, we believe our third quarter margins represent a sustainable level of performance absent any unforeseen cost or tariff pressures. Top line growth was led by [Audio Gap] continued investment in innovative high-quality products positions us well in an environment where consumers are increasingly focused on both value and quality. These efforts have enabled us to gain market share in this dynamic market environment. As discussed on our prior calls, we have executed a proactive tariff mitigation and supply chain readiness strategy. This playbook not only supported margin expansion this quarter, but has also positioned us well for the holiday shopping season as we strategically manage our inventory levels and assortment. Beginning in July, we implemented a series of targeted price increases across our portfolio. Our approach was surgical, grounded in careful analysis of price elasticity and market dynamics. These price increases reflect a balanced approach to share the impact of tariffs across the supply chain while preserving competitiveness and protecting margins. Our teams continue to closely monitor trade policy developments and will recalibrate as needed. Looking ahead to the fourth quarter, we anticipate consumer spending to remain cautious, consistent with broader retail trends, which are likely to result in softer holiday sales compared to recent years. Notably, we have observed a shift in consumer spending patterns across our portfolio with strong demand for premium products, while demand for lower-priced products is softening. Persistent economic and geopolitical volatility has weighed on consumer confidence and sentiment, particularly with middle and lower-income consumers. With price sensitivity elevated, many of these consumers are delaying higher ticket purchases, trading down or waiting for promotional opportunities. In response, we are collaborating closely with our retail partners to drive value-oriented marketing and promotional strategies for certain segments of the market, highlighting products that resonate most with consumers and aligning pricing and inventory with demand trends. Our proactive supply chain management over the past 6 months ensured that we are well prepared for the holiday season. We are ahead of schedule from an inventory delivery perspective and are fully prepared to capitalize on the entire holiday shopping season. While navigating through near-term headwinds, we remain firmly focused on our long-term strategy of investing in product innovation and brand development to strengthen our market leadership and to enhance the consumer experience. Through our investments, we are positioning Escalade for above-market growth and long-term value creation, anchored by leading brands defined by quality, innovation and durability. We are focused on strengthening our brands through strategic partnerships. Recent collaborations in archery, basketball and billiards are helping elevate visibility and consumer engagement. We've seen this model succeed with our Pickleball and Cornhole brands, and we expect similar results as we expand this strategy across our brand portfolio. During the quarter, we launched our 2026 archery assortment, which included over 30 products across our Bear, Trophy Ridge and Cajun brands. Early response from consumers to these new products and cutting-edge innovations has been good. These new products include the Redeem and Alaskan Pro archery bows, offer advanced technology and performance at unparalleled price points. Within Trophy Ridge, our refreshed accessory lineup includes the #1 selling Whisker Biscuit arrow rest, continues to reinforce our market leadership in the archery category. During the third quarter, we also completed the acquisition of Gold Tip from Revelyst. This acquisition aligns closely with our long-term strategic and financial criteria and will allow us to achieve greater scale and unlock additional synergies. Gold Tip's 20-year heritage in carbon arrows, along with Bee Stinger's premium stabilizers, enhances our category leadership and broadens our product offering to archery and bowhunting customers. We are actively integrating this business into our operations and expect this acquisition will be accretive to earnings in 2026. Looking ahead, we will continue to pursue additional tuck-in acquisitions that are both financially accretive and strategically aligned. At the same time, we will maintain a disciplined focus on balance sheet strength by prioritizing debt reduction, consistent dividends and opportunistic share repurchases to support shareholder value creation. We also continue to emphasize community engagement as an organization and with our team members. We are particularly passionate about supporting initiatives that foster positive change, bring people together and encourage healthy active lifestyles. As the latest example, we partnered with Project Blackboard and the Chicago Sky WNBA team to completely transform the basketball court at the Anna R. Langford Community Academy in Chicago. We look forward to continuing our community outreach efforts. In summary, I am proud of our team's continued discipline, execution and strategic progress in the third quarter. While the consumer environment remains challenging, we are well positioned to navigate near-term uncertainty and deliver long-term value for our customers and shareholders. With that, I'll turn the call over to Stephen for a review of our third quarter financial results.
Stephen Wawrin: Thank you, Patrick. For the 3 months ended September 30, 2025, Escalade reported net income of $5.6 million or $0.40 per diluted share on net sales of $67.8 million. For the third quarter, the company reported gross margins of 28.1% compared to 24.8% in the prior year period. The 344 basis point increase in gross margin was primarily the result of lower operational costs driven by our facility consolidation and cost rationalization program, a reduction in storage and handling costs, partially offset by $4.3 million in tariff-related costs. Selling, general and administrative expenses during the third quarter decreased by 4.1% or $0.5 million compared to the prior year period to $11.2 million. Earnings before interest, taxes, depreciation and amortization decreased by $1.3 million to $8.6 million in the third quarter of 2025 versus $9.9 million in the prior year period. This decline primarily reflects the absence of a onetime $3.9 million gain on the sale of assets recognized in the third quarter of last year. Total cash used from operations for the third quarter of 2025 was $1 million compared to cash provided by operations of $10.5 million in the prior year period. The year-over-year decline in operating cash flow primarily reflects increased working capital usage, driven by the timing of quarter end accounts receivable collections and our strategic inventory investments in preparation for the ramp-up to the holiday season. As of September 30, 2025, the company had total cash and equivalents of $3.5 million. At the end of the third quarter of 2025, net leverage was 0.7x. As of September 30, 2025, we had $20.2 million of total debt outstanding. With that, operator, we will open the call for questions.
Operator: [Operator Instructions] We have the first question from the line of Rommel D. from Aegis Capital.
Rommel Dionisio: I wonder if you could just provide a little more granularity on these really strong market gains you guys are obviously displaying here with such solid top line performance despite a somewhat sluggish overall environment. You talked about archery, some major new product launches there. I wonder if you could just maybe touch on a couple of the other categories where you're seeing market share gains despite taking the price increase in July.
Patrick Griffin: Thank you, Rommel. We've had pretty good success in other categories. Just an example, our safety category. We're taking market share there. We're a domestic manufacturer, and we've taken new opportunities against competitors that we're bringing in products. So we continue to see opportunities there. And then some of our other categories, and our games have done well as well. So we're, I think, poised for success with new products are going to continue to come out looking into the first quarter as well in the fourth quarter.
Rommel Dionisio: Okay. Great. And maybe just a follow-up on that. You highlight some of the stronger categories, archery, table takes, billiards, and safety. I just happen to know pickleball wasn't in that list despite the growth in that market. Can you just maybe talk about that? Was just maybe an off quarter or timing of new product launches. I wonder if you could just touch base on that category in particular.
Patrick Griffin: Yes. No, Rommel, thanks. Pickleball, we've been in pickleball a long time. It's a growing overall market, and you read about it in the news. And so when they're building courts, they're converting courts, and it's also a competitive category. So we're continuing to maintain the market share that we have at retail if you go into a DICK'S and Academy, and we're continuing to invest with new products with the hype we just launched, and that was well received. So over the long term, we're going to maintain our position in pickleball and continue to invest there. We think long term, it's going to be a sport that's going to be around for a long time. It's fun. It's easy to learn, and it's enjoyable.
Rommel Dionisio: Great. Maybe I could just do one last one on costs. In the first quarter, I think you highlighted $1.6 million impact from tariff and this quarter's $4.3 million. A lot of moving parts there. It seems to change on a weekly basis. But can you provide any insight on what the impact could be going into the fourth quarter? Is it roughly in that $4 million range? Or is it -- is that going to drop off from some of the recent negotiations delivering some benefits?
Patrick Griffin: Yes. No, that's a great question. As you know, that's a dynamic situation right now as you read the news this morning with what's supposedly been negotiated with the meeting with Trump and GE. So we'll watch that and see how that impacts what we're purchasing, and that will maybe take some time to get implemented. But directionally, we're expecting the impact to be lower in the fourth quarter relative to the third quarter.
Operator: [Operator Instructions] We have the next question from the line of David Cohen from Minerva.
David Cohen: A couple of questions unrelated to one another. First of all, could you give us a little more color on the management transition, what the time line is for hiring a permanent CEO and what traits you're going to be looking for in the new CEO?
Patrick Griffin: Yes. Thanks, David, for the question. So I think the main color is to refer to the press release that we announced and the Board will gather and look for the permanent CEO and the traits that they want to focus on. But I would say it's one where there's a focus on -- that's aligned with our culture as a company that has a growth mindset. And that is focused on the business.
David Cohen: Okay. The second question just relates to the comment about capital allocation and the continued focus on debt paydown. The debt level at this point is the lowest it's been in a long time. We're getting to a point where there's not going to be much more debt to pay down, which is obviously a happy problem. In your mind, does that change the priority list as to what we're going to be spending free cash flow on over the next 12 months?
Patrick Griffin: That's a great question. When we think about leverage, we feel like we're in a good spot, but we don't mind having cash on the balance sheet as well. So we may be in a position we're building a cash position. We continue to look for acquisitions. We've got a nice pipeline of acquisitions. We were pleased to get the Gold Tip acquisition done this past quarter. And we think that's going to be a significant addition to our archery portfolio, which will start to play out in 2026. We're continuing to pay a dividend, and we think that's important. And then we'll look for share buybacks opportunistically as well. So that's another lever that we have. And then finally, we're investing in our businesses as well in terms of domestic production here and warehousing and other things along with brand building and tooling and other things. So we're pushing all the levers from a capital allocation point of view.
Operator: Thank you. This concludes our question-and-answer session. I would like to turn the conference back over to Wes Smith for any closing remarks.
Wes Smith: Thank you, operator. Once again, thank you for your interest in Escalade and joining our call. Should you have any questions, please feel free to contact us at ir@escaladeinc.com, and a member of our team will follow up with you. This concludes our call today. You may now disconnect.
Operator: Thank you. The conference call has now concluded. Thank you for attending today's presentation. You may now disconnect.